Operator: Good day, and thank you for standing by. Welcome to the CCC Intelligent Solutions Second Quarter Earnings Conference Call. [Operator Instructions] I would now like to hand the conference over to your first speaker Bill Warmington, Vice President of Investor Relations. Please go ahead.Good day, and thank you for standing by. Welcome to the CCC Intelligent Solutions Second Quarter Earnings Conference Call. [Operator Instructions]. I would now like to hand the conference over to your first speaker Bill Warmington, Vice President of Investor Relations. Please go ahead.
William Arthur Warmington: Thank you, operator. Good afternoon, and thank you all for joining us today to review CCC's second quarter 2025 financial results, which we announced in the press release issued following the close of the market today. Joining me on the call are Githesh Ramamurthy, CCC's Chairman and CEO; and Brian Herb, CCC's CFO. The forward-looking statements we make today about the company's results and plans are subject to risks and uncertainties that may cause the actual results and the implementation of the company's plans to vary materially. These risks are discussed in the earnings releases available on our Investor Relations website and under the heading Risk Factors in our 2024 annual report on Form 10-K filed with the SEC. Further, these comments and the Q&A that follows are copyrighted today by CCC Intelligence Solutions Holdings, Inc. Any recording, retransmission or reproduction or other use of the same for profit or otherwise without prior consent of CCC is prohibited and a violation of the United States copyright and other laws. Additionally, while we will provide a transcript of portions of this call, and we've approved the publishing of a transcript of this call by a third party, we take no responsibility for inaccuracies that may appear in the transcripts. Please note that the discussion of today's call includes certain non-GAAP financial measures as defined by the SEC. The company believes these non-GAAP financial measures provide useful information to management and investors regarding certain financial and business trends relating to the company's financial condition and the results of operations. A reconciliation of GAAP to non-GAAP measures is available in our earnings release that is available on our Investor Relations website. Thank you. And now I'll turn the call over to Githesh.
Githesh Ramamurthy: Thank you, Bill, and thanks to all of you for joining us today. I'm pleased to report that CCC delivered another quarter of strong top and bottom line results, reflecting the predictability and profitability of our business. The second quarter of 2025, CCC total revenue was $260 million, growing 12% year-over-year, exceeding our guidance range. Adjusted EBITDA was $108 million, also ahead of our guidance range, and adjusted EBITDA margin was 42%. On today's call, I'd like to cover 3 themes. The first is the growing success we are having with larger customers in expanding their adoption of our solutions. The second is our continued focus on balancing operating efficiency and investment in innovation. And the third is the power of combining our interconnected network with a unique data and AI-enabled solutions. In terms of my first topic, as you know, customers, particularly our largest and most technologically sophisticated ones, undergo lengthy testing and piloting phases, when considering new products. This process is critical in validating customer-specific ROI, identifying internal process improvements that can be made as a result of these new solutions and driving alignment across the company's operations. In the second quarter, we began to see early evidence of more of our largest customers progressing past this pilot phase into broader rollouts of our solutions across their businesses. Let's start with emerging solutions. In Q2, several top 10 insurers contracted for multiple AI-enabled auto fiscal damage or APD solutions that extend our photo AI capabilities beyond estimating to include earlier stages of claim handling as well as later stages, such as audit and review. These solutions have, for example, cut the time to identify a total loss in half, resulting in millions of dollars of annual impact with the potential to improve that time and impact even further. This is a win-win-win. Insurers avoid unnecessary fees, repair facilities free up base for their repairable vehicles and consumers get faster and more satisfying claims resolution. Another example comes from a client, a top 10 insurer who contracted for this same solution in Q2 after seeing a significant increase in operating efficiency from consumers using the solution, self-service features to document damage, select a repair facility and schedule an appointment. A third example is the use of AI to streamline the back and forth between insurers and repair facilities over changes to repair estimates, also known as supplements. Over 60% of estimates now have a supplement or in many cases, multiple supplements. And this is a byproduct of the growing complexity in our industry, so this is a major pain point for both insurers and repairs. Our AI- based solution can help expedite this process and in some cases, auto approve these changes for an insurer's guidelines, significantly reducing cycle time and manual effort. In Q2, a top 5 insurer converted from a limited pilot to a full rollout for this solution as well. Our AI-based subrogation solution is yet another example of growing adoption across the insurance economy. As you have heard me discuss before, subrogation is often an expensive paper-based manual process that cost ensures more than $2 billion annually to administer. We are seeing growing interest in our AI-based subrogation solution, and we currently have 25 customers on our subrogation platform, including multiple top 10 insurers on phased production agreements. This group also includes a top 20 insurer, who after a lengthy trial period entered into a long-term agreement with us in Q2 for 2 key reasons: The first was an attractive 6:1 ROI driven by a combination of efficiency and accuracy, processing demand packages now literally takes minutes or hours versus days and weeks previously. The second reason was the increase in productivity of employees using our tools. Our solutions are intuitive to learn, easy to use and help identify important information quickly, which is especially valuable to insurers as the retirements of an experienced workforce means more new hires. With CCC's AI-based abrogation tools, this insurer saw a significant acceleration in speed to competency and less experienced workers future-proofing them as their workforce evolves. Decision in Q2 by multiple large insurers to contract with us for our AI- based APD solutions underscores the growing market momentum for these tools and strengthens our belief in the long-term growth trajectory of our expanding portfolio of AI-based solutions. We're also seeing strength in our established solutions like casualty. While part of the CCC portfolio for more than a decade, we have over the last several years essentially rebuilt our casualty offering by completely retooling the tech stack, bringing in new leadership and investing heavily in new product development. With casualty-related claims costs, rising faster than general health care costs, customers are increasingly interested in our platform's ability to deliver large tangible impact in this area. Casualty is a significant growth opportunity for CCC with a very large white space available. While similar in total market opportunity to auto physical damage or APD, casualty today only represents about 10% of our revenue, and our customer count is 1/5 that of APD. The fact that our casualty platform already powers several top 20 insurers, including multiple in the top 5, reflects the strength and quality of our offering. We continue to believe casualty has the potential to be multiple times its current size and over time, possibly as large or even larger than our current insurance APD business. In Q2, we had contract renewals and expansions in casualty with a top 10 and the top 20 insurer. In addition, the late April announcement about the integration of EvolutionIQs AI-powered medical record synthesis solution, Medhub, into CCC's casualty suite is generating positive engagement with our auto insurance customers in that solution. We also have strong interest in our next planned expansion of EvolutionIQ's capabilities into auto, which is claims guidance with many customers asking to evaluate the solution as soon as it's ready. EvolutionIQ continues to see solid momentum across its core disability and workers' compensation solutions. In Q2, we EvolutionIQ renewed and expanded contracts with multiple top 15 disability carriers, including the addition of Medhub. EvolutionIQ has a strong and growing pipeline of top 20 P&C insurers for its workers' compensation suite as well as Medhub auto. We continue to view EvolutionIQ as a key strategic asset and a catalyst by cross-selling our casualty suite into our APD client base of over 300 insurers. This positive momentum and adoption is not limited to our insurance clients. We're also seeing strong adoption by repair facilities of both our AI and non AI-based solutions. And here too, positive results from some of our largest customers give us confidence in the long-term potential of our newest offerings. For example, One of the leading multi-store operators, or MSOs, is already using our visual AI-based estimating solution, mobile jump start to prepare over 95% of their estimates. We view this as a leading indicator for adoption in the industry and an example of how our most sophisticated clients are leveraging our AI-based tools to improve operating efficiency and setting the pace of innovation for the industry overall. Another example is the continued adoption of bill sheets, our accuracy enhancing parts selection tool, which is now being used at over 5,000 repair facilities. This represents a nearly 20% penetration of our repair facility client base in just 1 year after launch in July of last year. And with Diagnostics, CCC continues to expand its coverage across diagnostics providers on the network enabling repair facilities to work with more providers through an integrated workflow that streamlines administration and improves transparency. While still early in the adoption cycle, we are encouraged by the success we've had in the second quarter in increasing customer usage of our newer solutions. We believe customers are just scratching the surface of deploying AI to increase efficiency and generate a durable competitive advantage in their business. It will take time for these new contracts to materially contribute to revenue. But we expect that contribution to build as use cases expand and clients send more volume through these solutions. As we have seen in the past, our leading early adopter customers set up the next wave of adoption, so the progress we saw in Q2 reinforces our confidence in our long-term growth opportunity. My second theme is our continued focus on balancing operational efficiency and investment in innovation. Our recurring revenue subscription model, single unified core base, scalable cloud infrastructure and seasoned development capability, combined with our efficient go-to-market model, gives us a highly flexible and scalable business model. This enables us to continually invest in innovation throughout economic cycles. And our clients understand that a significant portion of the fees they pay us is reinvested into future innovation that ultimately benefits them. In order to maintain this virtuous cycle, we are constantly focused on identifying new ways to improve CCC's operating efficiency. Over the past few years, we have made investments that have significantly improved the scalability of our business including building out the IX Cloud architecture, streamlining our product development process and driving synergies across our proprietary data sets. More recently, like our customers, we are starting to see the benefits from leveraging AI internally to help drive the next phase of CCC's operational efficiency. We're using AI to save time, reduce errors and to do things faster and smarter from helping to write code and protect systems to helping hire the right people. CCC has always been at the forefront of AI, and we see these initiatives as a continuation of that trend. These investments further strengthen the scalability of our business model and improve our ability to deliver better solutions to more customers faster, decreasing their time to value and increasing their ROI all while continuing to increase our annual investments in innovation. My third and final theme is the power of combining our interconnected network with our unique data and AI-enabled solutions. It is this combination that enables us to address our clients' current and future operational challenges and the value of this combination was very evident to me at a recent customer conference in Frisco, Texas, a 3-day event that was attended by over 300 customers. The foundation of our business is our interconnected network of over 35,000 businesses that we have built over the long term. One of my favorite parts of our customer conference is seeing this network in action at the advisory councils, which brings together about 100 senior executives from across the auto insurance ecosystem, including auto physical damage or APD and casualty professionals, OEMs, subrogation teams and repair facilities. These leaders convened to share operational challenges and offer feedback on CCC solutions, which we use to help inform our R&D priorities and address their evolving needs. What was clear from my interaction with clients during the conference was that the operational challenges you heard me talk about in the past, rising complexity of vehicle technology, labor shortages geopolitical uncertainty continue to get more challenging, and our clients are looking to CCC to help them navigate this once in a generation digital transformation of the auto insurance economy. One example of the combination of our interconnected network and our AI-enabled solutions is the IX Cloud. Our event-based architecture, which enables the over 35,000 businesses on our network to set up and manage notifications for relevant business events and configure actions based on those events using AI. We expect the IX Cloud to facilitate a stair-step increase in connectivity across our network and to help create more continuity across the claims ecosystem. This will make the network faster and easier for customers to deploy new CCC solutions and for customers to use multiple CCC solutions together. As these solutions work together, their benefits are amplified. We believe the combination of our industry-leading AI, scalable multi- tenant platform and deep multisided network position us as the partner of choice for this digital transformation. Over time, we believe CCC solutions will be able to help manage an increasing portion of the life cycle of claims and repairs. Before I finish, let me provide an update on our Board of Directors. I'd like to welcome new independent Board member, Barak Eilam, Barak is the former CEO of NICE Systems and has over 2 decades of experience in enterprise software, AI and customer engagement technologies. Its proven ability to scale organizations and champion customer-centric innovation will be a great help in our next phase of growth. I also wish to thank Chris Egan of Advent International, who stepped down from the Board earlier this year. We are deeply grateful for Chris' guidance, leadership and support, since joining the Board in 2017 and as part of Advent's investment in CCC. Let me conclude by reiterating the strength of our performance in the second quarter and how we are positioned for success going forward. Every day, our customers face a challenge of helping over 50,000 people affected by auto accidents. CCC played a critical role in delivering continuous innovation that enables our customers to better serve their customers. We believe there is an enormous opportunity in front of us to help our customers reduce cycle times, increase operational efficiency and improve consumer experience across the auto insurance economy. I will now turn the call over to Brian, who will walk you through our results in more detail.
Brian Herb: Thanks, Githesh. As Githesh highlighted, Q2 was a strong quarter that included meaningful renewals and contract expansions, reflecting positive momentum in the core business as well as our newer solutions. Now let's turn to the numbers. I'd like to review our second quarter 2025 results and then provide guidance for the third quarter and the full year 2025. Total revenue in the second quarter was $260.5 million, which is up 12% from the prior year period. In the second quarter of 2025, approximately 5 percentage points of our growth was driven by cross-sell, upsell and adoption of new solutions across our client base. including repair shop upgrades, the continued expansion of emerging solution, casualty and other ecosystem customers. Approximately 3 points of growth came from new logos. Mostly from the repair facilities and parts suppliers and about 4 percentage points of growth came from Evolution IQ. In the quarter, contributions from emerging solutions continued to expand rounding up to 2 points of growth, mainly from Diagnostics, Build Sheets, Estimate-STP, and subrogation. Emerging solutions represent about 4 percentage points of our total revenue in Q2 of 2025 and these solutions continue to be the fastest-growing portion of our portfolio outside of EvolutionIQ. Industry claim volumes in Q2 declined 8% year-over-year, a slight improvement from Q1's 9% decline. The trend continues to represent approximately 1 percentage point headwind of growth consistent with the impact that we saw in Q1. The headwind was largely offset by the phasing of revenue through timing of the contract renewals. Turning to our key metrics of software gross dollar retention or GDR and software net dollar retention of NDR. Please note that both of these metrics now include EvolutionIQ, and we are using annualized software revenue on a combined basis for the prior year to provide a prior year baseline for annualized revenue growth. GDR captures the amount of revenue retained from our client base compared to the prior year period. In Q2 2025, GDR was 99%, which is in line with the last 6 quarters. We believe that GDR reflects the value we provide and the significant benefits that accrue to our customers from participating in the broader CCC network. Our GDR is a core tenet of our predictable and resilient revenue model. NDR captures the amount of cross-sell and upsell from our existing client base compared to the prior year period as well as volume movements in our auto physical damage client base. In Q2 2025, our NDR was 107%. That's in line with the 107% in Q1 in 2025 and Q2 with 2024. EvolutionIQ contributed approximately 1 point to MDR in the quarter. Now I'd like to turn to the income statement in more detail. As a reminder, unless otherwise noted, all metrics unit non-GAAP, we provide a reconciliation of GAAP to non-GAAP metrics in our press release. Adjusted gross profit in the quarter was $203 million, adjusted gross profit margin was 78%, which is up from 77% last quarter and flat with Q2 of 2024. The flat adjusted gross profit margin versus last year primarily reflects an increase in depreciation expense from capitalized project recently put into service, which is offset by modest accretion from EvolutionIQ. Overall, we feel good about the leverage and scalability of the business and making progress towards our long-term target of 80% over time. But we will see the percentage move around a bit quarter-to-quarter. In terms of expenses, adjusted operating expense in Q2, 2025 was $108 million, which is up 13% year-over-year, including the acquisition of EvolutionIQ. Excluding Evolution IQ, adjusted operating expenses declined 1% year-over-year, primarily driven by lower IT-related costs, partially offset by higher resource-related expenses. Adjusted EBITDA for the quarter was $108 million, up 13% year-over-year with an adjusted EBITDA margin of 42%. This was above the high end of the range, which was $99 million to $101 million, reflecting the revenue that flowed through in the quarter and approximately $2 million onetime benefit associated from an exit of a vendor relationship in the phasing of expenses. Now turning to the balance sheet and cash flow, we ended the quarter with $55 million in cash and cash equivalents and $996 million of debt. At the end of the quarter, our net leverage was 2.3x adjusted EBITDA. Free cash flow in Q2 was $27 million compared to $36 million in the prior year, which reflects the timing of working capital as well as the operating losses from EvolutionIQ. Free cash flow on a trailing 12-month basis was $226 million, which is up about 15% year-over-year. Our trailing 12-month free cash flow margin in Q2 of 2025 was 23% up from 22% in Q2 of 2024. As far as the use of free cash flow, I did want to highlight that we completed an open market repurchase of 11 million shares of CCC stock for $100 million in Q2. Year-to-date, we've purchased 18 million shares for about $172 million under our previously announced $300 million share repurchase program. I'll now turn to guidance beginning in Q3 2025, we expect revenue between $263 million to $266 million, which represents 10% to 12% growth year-over-year. We expect adjusted EBITDA of $104 million to $107 million, a 40% adjusted EBITDA margin at the midpoint. For the full year 2025, we are maintaining our full year revenue and adjusted EBITDA positions. We expect revenue of $1.046 billion to $1.056 billion, which is 11% year-over-year growth at the midpoint and 12% at the high end of the range. For adjusted EBITDA, we expect $420 million to $428 million, a 40% adjusted EBITDA margin at the midpoint and 41% margin at the high end of the range, which includes absorbing a moderate EBITDA loss from EvolutionIQ, so 3 points to keep in mind as we think about Q3 and the full year guide. First, core CCC is in line with our second half revenue guidance expectations that we previously discussed. The strength in Q2 was driven by the phasing of revenue and timing of contract renewals that benefited the quarter but does not drive incremental impact to the second half of the year. We expect to come in at the lower end of the previous $45 million to $50 million guide for EvolutionIQ due to delays in implementation on signed contracts moving to production, which is impacting the timing of revenue. Second, we feel good about the full year adjusted EBITDA position, which delivers 100 basis points of margin expansion, excluding the impact of EvolutionIQ. Keep in mind, Q2 had a onetime benefit of $2 million related to an exit from a vendor relationship. We do expect second half expenses to be higher than first half driven by the phasing of hiring and some incremental professional services. The third point is stock-based compensation in Q2 stock-based compensation was 18% of revenue, which is down from 24% of revenue in Q1. We do expect share-based compensation as a percent of revenue to continue to trend down and reach high single digits in 2027. So as we wrap up, I would say that I am encouraged by the growing adoption of our newer solutions among our largest client, which is validating our role as a partner in their digital transformation. The momentum across emerging solutions continue to improve strengthening our confidence in delivering against the long-term growth targets. I'm also proud of our disciplined balance between operating efficiency and investment in innovation. This is a cornerstone of our durable business model. which enables us to support our clients' evolution, while also delivering long-term value to our shareholders. As a result, we remain confident in our strategy, the execution and the ability to deliver sustainable growth. So with that, operator, we're now ready to take questions. Thank you.
Operator: [Operator Instructions] Our first question comes from the line of Josh Baer from Morgan Stanley.
Joshua Phillip Baer: Congrats on the upside in the quarter. I wanted to start with the full year EBITDA guide reiterated. I know you just kind of walked through some of the items, $2 million benefit in the quarter but even like without that, there was a lot of upside. Maybe you could give a little more commentary around the expenses and the shifting in professional services, like what those investments are and ultimately, why the full year is just reiterated?
Brian Herb: Yes, sure. Josh, it's Brian here. So I would say, overall, the cost base is really a function of timing, so the cost position is consistent with what we talked about in our previous guide and I'd also say that when we look at the quarter, we're not overly focused on managing the margin in individual quarter, so a lot of this just comes down to phasing. A couple of things to call out. We have the onetime item that played into Q2, which was a $2 million benefit in the quarter that doesn't play through in the second half of the year. We also have hiring that's up in the second half, so hiring was lower in the first half, it's going to pick up in the second half. So that's playing into it. Cost of revenue will pick up as well in the second half as we scale revenue. And then, as I mentioned before in the prepared remarks, we do have some incremental investment in professional fees. Some of that is attached to recruiting. We also have some project linked to investment initiatives. So those are some of the factors that are playing into the step-up in the second half. When you think about the cost run rate coming out of the year, we are comfortable with the expected margin progression that we talk about over time. And so we'll expect to see that play through in '26 and beyond.
Joshua Phillip Baer: Okay. Really helpful color, Brian. And then on EIQ, just wondering as far as coming in more at the low end and around some of the delays, what is really causing that? And what steps can you take to improve on that motion?
Brian Herb: Yes. Sure, so, what I would say is a few of the signed deals, which are significant deals, size-wise, the implementation timeline is getting pushed out a bit. which means that production is starting later in the year, which is impacting time to revenue. The revenue delay is really an impact in 2025, and we don't expect it to play through or impact the outer years. I'd say the implementation in EIQ is a bit different than our solutions and has some variability, and we are getting smarter on that as we go forward. When you step back and you zoom out on the impact of revenue in 2025, we feel really good about the EvolutionIQ business, strong pipeline, good engagement with clients, and we are starting to see some real meaningful opportunities to cross-sell the solutions into our casualty client base. So we feel really good about the strategic fit of the business going forward.
Githesh Ramamurthy: And I've also personally had a chance to go visit with many of our customers in -- at EvolutionIQ, they'll remain excited. Pipeline is strong, core disability is strong; Workers' Compensation, we're seeing, a lot of opportunities as well as Medhub, the new solution we announced and getting a lot of receptivity from both traditional EiQ customers as well as traditional CCC customers.
Operator: Our next question comes from the line of Callie Valenti of Goldman Sachs.
Carolyn Valenti: This is Callie on for Gabriela. First one from me. I would love to dig a bit deeper into the technical changes you talked about in the casualty platform. What did you focus on most when improving the product? And are there 1 or 2 key pieces of functionality you added that you think are now contributing to a lot of the success you're seeing?
Githesh Ramamurthy: Yes, there were really several things we've done with the platform. One, modernized and really put in a state-of-the-art rules engine, simulation capabilities, where you can see the impact and changes of different regulations by state, so we have those capabilities, substantially improve the analytics by which our customers manage the overall process as well as some very specific customer- specific enhancements. And as a result of these changes and the leadership changes we've had put in place, we are continuing to see strong growth as well as momentum and pipeline continue to build out.
Carolyn Valenti: Great. And then just one more for me. Last quarter, you discussed additional conservatism in guidance, given the macro uncertainty. I'm just curious, how do you feel now versus then? And especially given the upside in the quarter but maintain full year guidance, understand a piece of that is EvolutionIQ and then some other things you called out, but curious on how you feel from a conservatism standpoint?
Brian Herb: Yes. Callie, we feel good on the second half guide. The core is consistent with the previous position, so we made no changes in the organic or the core position. We talked about the EvolutionIQ and the timing of implementations and impact on revenue. We've seen about a point of growth impact on claim decline in the first half. We're assuming that similar level in the second half, so that's baked in as well. So as we said, we're feeling good on what we delivered in Q2, and we feel good on the second half and how it stacks up against the guide that's in the market.
Operator: Our next question comes from the line of Samad Samana from Jefferies.
Samad Saleem Samana: Again, congrats on a good quarter. Maybe first, Brian, I just -- I don't know if I caught the tail end of what you said to the prior question. What are you assuming specifically on volume trends? I know they've oscillated but how are you thinking about what is baked into guidance for the rest of the year? Are you assuming that 8 level holds, I know that, again, it's bounced around on you. But what are you assuming? And what did you see in the month of July? And then I have one follow-up question.
Brian Herb: Yes, sure. So first of all, I would just remind you that we have 80% of our revenue is subscription-based, which isn't moving with volumes. About 20% is transactional that does fluctuate with volumes. And so overall, the claim volumes doesn't have a material impact on growth rate, so I just kind of start there. What we've seen to date is claims were down 9% in Q1, it had a 1 point drag on growth; claims around -- in Q2, they were down 8% and then also had a 1 point drag in growth. What we're factoring in for the second half and which was in the previous position, is that 1 point of drag continues in the second half of the year, so kind of what we're seeing playing out through the balance of the year. We're not necessarily modeling is -- is claims down 9%? Is it down 8%? Is it 7%? I'm really modeling out this 1 point of decline related to claim volumes playing through the balance of the year.
Samad Saleem Samana: Understood. And then Githesh, it's good to see the pilot phases turning into broader rollouts for some of the newer solutions. I know that we shouldn't assume near-term revenue from those but could you maybe just help us understand how that -- what the time line has looked like historically for when a broader rollout happens to when it turns into revenue. And just as you think about the broader rollouts that have happened, are those full in scope? Or is there more room for expansion in those as well to get to kind of full revenue contribution?
Githesh Ramamurthy: Sure. I'll start with a broader answer, right? So we've been developing many of these solutions for couple of years or more and we really have been spending a lot of time looking at really three fundamental things for each of these solutions. One, do they solve a really big problem that is real, significant. Is the ROI strong? Is it sustainable? Meaning if you didn't use the solution, your results revert back. The answer is this is really the fundamentals of what some of our most sophisticated customers have been testing for some period of time and you roll even further back, when you look at estimating or insurance workflow or automotive business, these all started by answering these fundamental questions and over a period of 5 years, 10 years, 20 years, those are growing to multi- hundred million dollar businesses. So when we look at these solutions, we look at it over the long -- that long arc of time, and there are really 2 dimensions very specific to your question. The first dimension is customers are still not putting all their volume through these solutions even the ones that have contracted for it. They are gradually increasing the volume as they've contracted and because the results are good, they're getting more comfortable with it. So even post contract, we see expansion within existing the customers that contracted in Q2 will continue to expand. At the same time, as the confidence in these solutions grow and the referenceability of these solutions grow and other customers start to get more comfortable and more excited about what they're seeing, we feel that we will be able to bring on more and more customers. So both those 2 dimensions are really important to scaling within existing customers and bringing on more customers.
Operator: Our next question comes from the line of Alexei Gogolev of JPMorgan. .
Unidentified Analyst: This is [indiscernible] on for Alexei. How long do you expect the claims weakness cycle to last beyond 2025? And would you say there's anything unique about this cycle compared to past periods of weakness. And as a follow-up, what macro indicators would give you hope of this dynamic improving?
Githesh Ramamurthy: Yes. I would say a couple of things, right? When you look at our data, we see a disconnect between underlying accident frequency and what is really filed claims. And based on our view of this, that's why we believe this is cyclical. And if you -- the difference between this cycle and previous cycles, is that premiums have been up 50% since March of 2020. We've not seen a cycle in the last 20-plus years, where over a short period of time, insurance premiums went up 50%. So what we are seeing, our customers are seeing is a lot of consumers are adjusting their behavior by increasing deductibles, reducing coverage on order vehicles, avoiding nonessential -- filing nonessential claims to prevent hikes in premiums. And so this is really the underlying pattern that we're seeing. And then to answer your question about timing, while we're not sure, we can't be sure about of underlying factors, I would say, are the following: First, repair costs are starting to moderate. So in terms of repair costs, those costs are starting to moderate. Premium increases are also starting to moderate. And so that's really what we've started to see over the last couple of quarters. And the underlying delta is really filed claims versus the underlying frequency of accidents. Does that help?
Unidentified Analyst: Yes. That's really helpful.
Operator: Our next question comes from the line of Shlomo Rosenbaum from Stifel.
Shlomo H. Rosenbaum: Last quarter, you talked about your expectations for an elongation of the sales momentum and implementation cycles. And is this -- are we seeing things tracking along your expectation? Or have things improved at all since we talked last quarter?
Githesh Ramamurthy: I'm assuming you're talking about our -- we really talk about really 3 buckets, right? There's emerging solutions, our core solutions and then EIQ. I think for our emerging solutions, it is now to a point where the ROI, the change management, the comfort with the AI has reached a point where customers are now making decisions, moving from pilot to contract, so we feel very good about that transition. And a lot of that happened in Q2 and that makes us feel very, very good because we've seen this pattern over 20-plus years when people get comfortable with the solution that's that part. So nothing really material or even subrogation, we can be up and running. So that feels good that we've kind of started to solve that issue. Regarding the core solutions, that is standard. We've been doing those credits casualty or our core solutions that's been going on for a while. And then for EIQ, specifically, I'll just repeat the answer Brian gave earlier, which is we've seen a couple of instances where sizable customers have signed contracts and have taking a little more time to put into production for EIQ, but the -- on the flip side, the pipeline, the activity and what we're seeing in terms of really strong interest from customers makes us as bullish about the EIQ business as the day we entered into the transaction.
Shlomo H. Rosenbaum: So there's nothing changing in the core business in terms of just the cadence of sales or implementation versus your expectations. I understand you talked a little bit about the pilot moving and then the EIQ moving, but in terms of just the overall business and the cadence of way things move, that's been the same?
Githesh Ramamurthy: If anything, in Q2, we started to see a slight acceleration, especially on our emerging solutions.
Shlomo H. Rosenbaum: Got it. And then just 1 thing for Brian. If I take out that $2 million of exit revenue and then go in a kind of put 4% growth, it seems like it's like 7% underlying organic growth. Is that the right way to look at it? Is it kind of rounding up a little bit better than it did last quarter when I excluded EIQ.
Brian Herb: For the quarter, Shlomo was that the question? Into 12%, it was broken down. EIQ, EvolutionIQ was 4%. That leaves the balance about 8% in the quarter. Within that 8%, we had 2 points of growth from emerging, so that's kind of how the quarter breaks down.
Shlomo H. Rosenbaum: But I'm talking about the $2 million from the exit. I'm just trying to get a [indiscernible]
Brian Herb: Yes, Shlomo just -- that was a cost item that played through EBITDA was not a revenue item, so it's a onetime cost benefit when we exited a vendor relationship, it was in a client-specific point. It wasn't a revenue point.
Githesh Ramamurthy: [indiscernible] 8% under that.
Brian Herb: Yes. So yes, 8% revenue core, the $2 million I'm referencing that's playing through EBITDA was a cost benefit in the quarter that's not playing through in the second half of the year.
Operator: [Operator Instructions] Our next question comes from the line of Bill McNamara from Evercore ISI.
William Joseph McNamara: This is Bill on for Kirk. Can you talk through any of the free cash flow dynamics experienced for the quarter?
Githesh Ramamurthy: Yes, Bill, happy to. Yes, free cash flow was a little lighter this quarter than we've seen. There's really nothing notable to highlight, there was just some timing on working capital and collections that were a little lighter in the quarter. We're also absorbing the losses from EvolutionIQ, when you look at it on a 12-month rolling basis, it was about 23% of revenue, that's slightly up from the prior year 12-month basis, up 22%, so although the quarter itself was a little bit lighter on cash, there's nothing real notable to highlight or to call out.
William Joseph McNamara: And then is there any further insight you can provide us about the rollout of your pay workflow tool? And I guess, what has been the feedback from customers? And is this a particularly lengthy sales process to convince customers to switch?
Githesh Ramamurthy: It -- we have started to implement customers. They like the solution a lot. We think we're still early days significant amount of runway in terms of the solution, especially for many of the multi-store operators are interested. We've looked at early implementation. The feedback has been good. So nothing, I would say, one way or the other to report. I mean we've got a pretty broad suite of solutions for the automotive market. And they will run at different paces, right? For example, when you look at Diagnostics, or you look at Bill Sheets, they run a little faster because they're a little less complicated. This one has a little more complexity to it, so it runs a little slower and especially it's very early days.
Operator: Our next question comes from the line of Dylan Becker from William Blair.
Dylan Tyler Becker: Maybe Githesh on kind of the dimensions you called out with large customers kind of moving from pilot to production, I wonder if there's any kind of additional granularity you can kind of go into. Is it something that, hey, it's validation and confidence in the value afforded by these systems that's allowing them to maybe push forward a little bit faster here. Is it we've got our internal teams in place, so now we're more comfortable to kind of lean in. Maybe help me think through some of the puts and takes that are pushing forward and how maybe that correlates to some of the trends you've seen in the past given you've had kind of multiple new cycles over time as well.
Githesh Ramamurthy: Yes. I think it's a great question. So I would say at the heart of it is that AI is fundamentally different from anything else we've ever built, right? It's probabilistic in terms of the outcomes, and it took a little bit of time for people to get really comfortable with what the AI delivers in terms of output and the like, so there's a significant increase in the reliability, the quality and people are getting much more comfortable. I would say the second and probably more important thing is that the ROI is real, so when customers use the solution, they get 1 set of results. If they stop the solution, those results materially are not there. So you had the benefits of what I would call the AB testing and customers are really seeing great benefits. And then there's also what I call second-order benefits like some of that I mentioned in the call, where, hey, I can get my -- I've had turnover. I brought in a lot of new people and with your AI and with these solutions, they are coming up to speed so much faster and quicker than some of our more experienced 15-, 20-, 30-year people. So we're seeing some of those benefits. So -- but at the heart of it, it is the results. They are delivering tangible fundamental results that our customers now feel very good about, and these are very sophisticated customers and that's why they're moving to contract. That's what makes us feel good.
Dylan Tyler Becker: Okay. No, that's great. I appreciate the depth there. And then maybe on the casualty side of the equation, we've kind of called out significant interest with Medhub and maybe some of the EIQ components as well, too. I wonder, within that universe, there's a lot of inflation and severity on the claims side that helped historically kind of drive a lot of adoption on the APD business, wondering if you kind of -- if you can make any parallels there as maybe the casualty side is starting to see maybe more of that claims pressure, which is really emphasizing kind of carriers to digitize and get more efficient.
Githesh Ramamurthy: You are absolutely right because what we are seeing and our customers, more importantly, are seeing is that the inflation in casualty is much higher on the casualty claims than in general health care. So general health care as a category is high and what people are seeing in casualty claims is even higher. So as a result of many of the things we have helped our customers accomplish over time on auto physical damage we are now able to deliver many of these capabilities on the casualty side. Hence, the number of customers that are either new coming on to the platform or expanding the usage of our tools or new -- completely new to the platform, we're seeing all of those activities. But it is becoming a significant issue.
Operator: Our next question comes from the line of Tyler Radke from Citi.
Tyler Maverick Radke: I wanted to go back to the commentary you had just around -- it sounds like maybe some green shoots in emerging solutions as things move from pilot into production. Could you just clarify, are you seeing that show up in terms of multiyear contracts. It sounds like you have better visibility, but maybe if you could just be a little bit more specific in terms of the types of deals like are these ramp structures, where you expect people to be layering the stuff in, in 2026, 2027. How many of your top clients did you see this that, that would be helpful.
Githesh Ramamurthy: Yes. Let me start with maybe the last part of your question first. So 1 of the things we've done is that the solutions that we've taken a lot of time to develop, we think they apply across our entire customer base. So these are not solutions that only apply to a certain segment of our customers or other segments. So these are broader solutions on which there's just very, very broad applicability. And many of these -- many of our customers, who used some of our previous solutions have been using -- and these are all -- and the contracts we're talking about are multiyear contracts. And what we are seeing is that when customers contract, they believe they will put a certain amount of volume through and what we're already starting to see is customers are starting to expand beyond the volume of contracts putting in. So as we look at '25, as you go into '26 into '27, volumes from those customers will continue to increase as they start putting more and more volume through. But at the same time, we now have enough reference customers who are now -- or other customers look to, I'll also say, "Wow, this solution is now in production, I can start using it and get a lot of value" and yes, and at the bottom line, these are multimillion-dollar contracts for each new product.
Tyler Maverick Radke: Helpful. And a follow-up just on the competitive landscape. We've seen some of the horizontal SaaS and workflow players sort of announced industry-specific solutions for the insurance market, whether that's ServiceNow. Just curious, are you seeing any attempts from sort of the horizontal folks kind of getting more into the claims processing in your side of the market, it would just be great to get your thoughts on the potential threat, if at all, from some of the horizontal players?
Githesh Ramamurthy: I won't provide the name, but I did have 1 of the largest horizontal providers in my office earlier today, and we spent about an hour -- a good bit of time and they really -- this is a great example of them saying, we are in a very horizontal capability and what CCC, what we're doing is extraordinarily -- extraordinary depth of vertical. I give you a very simple example. The example that we use is photo capability, having trained the AI around the cars, around the parts and photo capabilities to then solve very, very deep vertical solutions. And as I had mentioned, the ecosystem and the network that we have is an extraordinarily broad ecosystem. So in many places, we will play with existing infrastructures customers have, but we feel very, very good about our solutions.
Operator: Our next question comes from the line of Gary Prestopino from Barrington.
Gary Frank Prestopino: A lot of questions have been answered, but I wanted to just ask you is the EvolutionIQ, you kind of channel down the revenue attainment this year? Is it still going to impact margins, adjusted EBITDA margins by about 200 basis points?
Brian Herb: Gary, it's Brian. Yes, EvolutionIQ, if you strip out the impact and look at core CCC, excluding EvolutionIQ, we're making about 100 basis points of margin progression for the year, so EvolutionIQ is the difference between that. The moderate loss they have is -- that we talked about last quarter is in the relative range of what we're expecting to see, so kind of consistent from that perspective. But strip out EvolutionIQ and we're looking at about 100 basis points of margin progression for core.
Gary Frank Prestopino: Okay. And then just in terms of -- when you look at the overall business, and we're seeing claims volume decline, there's a lot of reasons for that, a lot of it mostly economic but how much of that claims volume decrease in your opinion, is really coming from more ADAS proliferating through the car park?
Githesh Ramamurthy: Gary, that's a question that is really not very clear in terms of the answer. But by and large, our fundamental belief is that this is the underlying frequency of claims. We have not seen a material change because every car of every type goes through our platform in one way, shape or form. And what we think -- what we believe is a very fundamental difference between accident frequency and claims being filed for economic reasons. That, we think, is the fundamental cause and by the way, there's a lot of third-party data that supports that view as well.
Operator: I'm showing no further questions at this time. I would now like to turn it back to Githesh Ramamurthy for any further closing remarks.
Githesh Ramamurthy: Well, I would like to, on behalf of all of us, say thank you for joining us. We're very optimistic about the outlook for the business, and we remain confident in our ability to deliver on our strategic and financial objectives while helping our customers with their digital transformation. I'd also like to take this opportunity to say thank you to our customers for their trust and confidence in us and I also like to thank the CCC team and our shareholders for their support. We remain excited about the opportunities in front of us and look forward to updating you on our next quarterly call.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.